Operator: Greetings, and welcome to the Insignia Systems Fourth Quarter Results Conference Call. Just a reminder, today’s conference is being recorded. Except for the historical information mentioned, the matters discussed in this conference call are forward-looking statements. The company’s actual results could differ materially from these forward-looking statements as a result of a number of factors, including risks and uncertainties as described in the company’s Form 10-K for the year ended December 31, 2015, and other recent filings with the Securities and Exchange Commission. The company wishes to caution all listeners not to place undue reliance upon any such forward-looking statements, which speak only as of the date made. At this time, I would like to turn the conference over to Mr. John Gonsior, President and Chief Financial Officer. Please go ahead, Mr. Gonsior.
John Gonsior: Thank you and good afternoon everybody. Thanks for participating in today’s call, during which I’ll discuss the fourth quarter and our 2015 annual results. On the phone with me today is Tim Halfmann, our Chief Sales and Marketing Officer. First off, let’s review the numbers. As we stated in our release from earlier today, we had a strong fourth quarter that completed a great year for us. From a year-to-date perspective, we had revenue growth of just over 7% from last year, which was mainly due to volume growth in our POPS business. Gross margin dollars have increased approximately $900,000 from last year, staying relatively flat as a percentage of sales, at approximately 45%. Operating expenses decreased by nearly 10% from last year, as we continuously review all areas of our business to drive our results. Operating income and EPS have both increased nicely over the last year as well. Next, I want to address a few key areas for our shareholders. First, we’re pleased with the results we produced in 2015, as well as the innovative approach we use to analyze our business to produce those results. This approach brought forward ideas such as POPS day, as well as other creative ways to drive results from our business. This approach produced incremental revenue and incremental profit in 2015. On the retail front, I’m happy to report that we’ve signed Albertson’s banners to a direct POPS field for 2016, and they’re also participating in the 500-store pilot program this year for the Like Machine. As pointed out in the press release, our Q1 POPS bookings for 2016 are down slightly compared to the bookings from a year ago. However, are down more dramatically from our recent quarterly revenues in 2015. This highlights the lumpy results that our core business has seen over the past several years, as the business can be dependent on the spending patterns of our large CPG customers. Those CPG as well as our retailers are looking for new ideas, and coming to partners like us to help them with those ideas. As we continue down this path, I believe it’s important to note, that we won’t be able to introduce additional new products overnight, and we will be selective on the products that we choose to introduce. With that I’ll open it up for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Jacob Ma-Weaver with Cable Car Capital. Please state your question.
Jacob Ma-Weaver: Hi, John. Just wanted to follow-up on the information technology investments you referenced in the release. So if you could gives us a little bit more detail on that?
John Gonsior: Sure, good afternoon, Jacob. What I’ll say about the IT investment, certainly we called it out, because we feel like it’s an important initiative for our company. We feel it’s an appropriate investment in the technology in our company and then also just to both provide high-quality service and responsiveness to our current customers as well as allowing ourselves the ability to introduce new products in the future in an operationally efficient manner. And so the current systems we have are fairly old to be honest with you and perpetuate a somewhat manual workflow and that’s what we’re trying to avoid as we move forward.
Jacob Ma-Weaver: Great. Thanks for the clarification.
John Gonsior: You bet.
Operator: [Operator Instructions] If there are no further questions at this time, I would like to hand the call back over to management for closing remarks.
John Gonsior: Great, thank you. And thank you all for participating in today’s call and I look forward to speaking to you in the near future. Take care.